Henri Poupart-Lafarge: Hello. Good morning, ladies and gentlemen. Good morning, everybody. Welcome to our year-end financial highlights. Welcome to this conference call. As usual, we will cover the agenda of the day starting with some highlights, then we will go over some of the main events of the year and then we leave the floor to Laurent for some financial results, and then we will come back for the trajectory and the outlook and for the conclusion. So you probably have time to read our press release. So, I will go relatively fast in the main events. Just to give you the few takeaways of the year, starting with the other intakes, starting with the commercial momentum, we had the opportunity in the past to tell you that the market was actually extremely well-oriented and you have here the confirmation of our successes on this market and our ability to take orders and in particular our hit rate has been particularly higher. So, the other intake is at €19.3 billion, which is a book-to-bill at 1.25, so much above 1, leading of course to a record backlog of €81 billion. So, we are very healthy commercial situation this year. We have humped up our sales during the year. If you compare with last year and also sequentially, if you compare H2 with H1, we have a 7.9% increase in H2 as compared to H1. Again, this is in line with our guidance. This is in line with the global turnaround of the company. The global [indiscernible] of the company. EBIT margin, adjust EBIT margin has been fully aligned with our guidance, fully aligned with our trajectory, as announced last July. We have also sequentially a better H2 rather than H1, but as you know each year there is a seasonal impact between H2 and H1, but overall good yearly adjusted EBIT. Finally, the free cash flow, of course, yearly number is still highly negative and cannot be seen as satisfactory. Having said that, we are in-line with our objective and if that was one element, which was probably a little bit above our guidance, which is the free cash flow, which is, we said it will be positive, it's positive at €469 million for the second half of the year. So, leading to hopefully €1 billion cash outflow for the full-year. As you know, the macroeconomic environment is complex, has been complex during the year ending March 2022 and will remain complex between 2022 and 2023. The main highlight, which are classical highlights, first inflation, electronic shortages in general, supply chain disruption, we had at the end of the year, the Russian impact. And finally, at the very end of the year as well the C-19 impact in China. None of headwinds, none of the macroeconomic impacts have had any consequences on our 2021, 2022 results actually. We have managed to whether these different elements to mitigate these different elements. We all know that they will continue, will accelerate in 2022, 2023 in particular inflation and probably the Chinese situation as well. So, we'll have to continue to mitigate them. We expect some impact in 2022, 2023, including probably on recurring shortages as well, but we have to recognize that in 2021, 2022, we have completely managed to, I would say whether this situation. This year has been also, as you know the first year of the full integration of Bombardier Transportation by Alstom. As you say, that particularly satisfied with the work, which has been done during this year, and immense work has been done internally in order to integrate Bombardier. We all know that Bombardier faced a number of complex issues, both in project execution and in global management. We have managed to go through this period with the first objective in mind, which was to keep customer satisfaction customer confidence. So, we are giving here, a few of the indicators. The first one being again, what we call net promoter of score, so 8.1, we target to be always above 8 and of course to be as close to 10 as possible. As importantly, more than 90% of the customer when we do surveys are explaining that they are satisfied with the way Alstom has integrated Bombardier projects, and I can multiply the example of projects, which have already been turned around during the year. Some of the iconic or unfortunately iconic projects of Bombardier have been totally turned around during the year. So, very nice situation there. Internally, we have now converted our global processes who are working on as one company in terms of processes, in terms of organization, in terms of team, which is extremely important. We have still to fully align all our tools. So to gain efficiency to fully align our lean management process and level in all our sites, but we can say that today, we are working as one company. To take some of, I would say, ex-Bombardier colleagues world, they believe that today they are more integrated in Global Alstom Group where they were integrated within Bombardier before, meaning that there are many more global processors and global tools in the new group than what was existing before in the Bombardier standard ones. As far as our plans are concerned, as you know, we have the first element was to build sound company, then of course to start to convert as well our product plan, our R&D efforts. We have now a clear plan on all our products and we have started to convert, of course, it's the early start. We took time to decide on what should be our product plan or marketing plan offering portfolio. And now we are starting to implement it. And that's what we're going to work. So, the first year was really on the stabilization of the project and starting on the second year, we will really now converge our physical footprint, as well as our product portfolio. Synergy therefore are being fully confirmed. The fundamental of the deal are definitively confirmed. We are even a little bit increasing our long-term perspective on the synergies knowing that things are moving very positively. So, again, good, very good year totally in-line with our expectations in terms of integration and allowing us to go to the next phase, which is a more in-depth integration in terms of efficiency and product planning. Coming back now on the year itself, a few general comments on the year. The first one is, of course that to remind everybody, as you all know that rail is extremely positioned in the mobility transition and in general in the climate challenge, the climate change challenge assessed by the world. So, I just remind a few numbers here that in terms of CO2 emission, as well as in terms of energy consumption and with the price of energy where it is today. [Rail] [ph] is definitively a good solution for mobility. As you know it has been well understood by everybody and all public authorities are investing a lot in rail and I see, I mean this could be one of your questions, but despite the change in macroeconomic environment, I see no signs of slowdown on rail investment in the world. No signs of slowdown of any of the stimuli packages, which have been launched for the C-19 crisis across the world. That is being translated into a very nice pipeline of order and a nice pipeline of opportunities for the coming years. So, we have for the next three years of more €180 billion of opportunities, which we have, I would say identified across the globe. What is testing is that we are benefiting from the – in Western Europe and in the U.S. of course, and in Southeast Asia from a number of stimulus packages, but we see as well as rebound on market, which were a little bit slow over the recent period. And yeah, I'm talking about Latin America, for example, which has rebounded quite significantly, particularly in urban systems, but also in Middle East, of course, on the back of the oil price increase, we see some of the projects, which have been developed in the past, which are coming back on the top of the agenda, to a very nice very nice market in front of for the next years. Just a reminder of the company that we have catered together with Bombardier, we are now very sound leader on our markets, both in terms of, in all our activities, I would say, in rolling stock in-service, with a, basically the size of Alstom is equivalent of the sum of the size of our main competitors altogether. In signaling, now we have the number two, actually one of the first three players, there are now three players of equal size if you will take into consideration the acquisition of Talent by Hitachi. And then of course on turnkey, we have a strong leader, we actually won all our projects, all our standards in turnkey addition. Going back to our main numbers, orders intake, large increase as compared to last year, last year was a pro forma year, so it's not necessarily very significant, but the book-to-bill of 1.25, a nice split of the order in-take between H1 or H2. Here there is no real seasonal impact, it depends on some large tickets, but this year it has been relatively equal for the two IPOs.  Healthy margin order intake clearly. I mean, you know that this is one of the key element of our turnaround is to book order with a healthy margin to execute them properly in order to progressively increase the margin of our EBIT. In terms of either geographical split or I would say, activity split, nothing particular to say, except Europe, of course, remains our main market has been quite positive this year, And service maybe, we have a very healthy book-to-bill in service with €4.2 billion [indiscernible] €3.4 billion of sales. A few, you have seen a number of – in the small video, you see a number of our orders intake for the year. So, we’ll not come back on all these orders. Just suffice to say that there have been orders in all continents. So, the market is positive in all continents. At that point in time, there is no market, which is really at low speed. I mean, they have a lot of opportunities. And Alstom, as you know, is present on all continents. Sales, we have [hampered up] [ph] our sales, again as compared to last year plus 11% in pro forma, 7.9% as compared to H1. Rolling stock, we're are still humping up. We’re focused on stabilization of our project. So, the hump ups is relatively linear and controlled. Very high level of service growth on the back of some maintenance operations in Europe, also some particular patients in the U.S. So, we don't expect it to go a lot further next year. It has been an exceptional year during the second half. Signaling, going nicely as – and we continue to go and back again on book-to-bill, which is also good in signaling and system, we had a low point. You remember that we said in the previous years that had we had completed a number of projects in the Middle East in Dubai, in Riyadh. So, now we are starting again with new orders, Tren Maya in Mexico, we have, of course in Egypt the monorail and Thailand also some monorail; so it's a nice hump up of our system business. As you know, we continue to trade a number of non-performing projects from Bombardier. As I said at the beginning, we have done immense work to stabilize these projects and nevertheless we need to now fully execute them, so I continue to petting of these projects continue to weigh on a global profitability, but what I can tell you is that now all the technical issues have been agreed and the solutions have been agreed with the different customers and in a number of cases have been totally implemented. The production have resumed for all our projects, so we are now up and running everywhere. There is no more projects which have been altered. So, we are fully in-line now with our plan and we need to accelerate the production and accelerated the delivery of our project. I said, that I would have liked to conclude all our negotiations by this time, I have to admit that are still two negotiations, which are ongoing. Frankly, the growth exposure now has been globally mitigated. We have limited amounts to be negotiated. So, that has been – also an immense work being done by all the teams in the world to re-establish good relationship with our customers who still have two negotiation to finalize, but in terms of, I would say exposure, it's very limited as compared to what we had at the beginning. A few highlights on innovation, you know that at the end of the day, this is to be not only, I would say, not only to cover the full world and to be a very efficient company, but it's also to innovate and to bring to the market solutions, which are needed for the coming feature. We have announced on hydrogen partnership with Ng on the [indiscernible] of course, we need to after regional trains, we need to solve this challenge for our diesel locomotives. So, we have announced that with NV, we have also, of course some battery solutions and we have now launched first battery train, which have been tested with Deutsche Bahn. Régiolis Hybrid is, I would say transitory solutions, which allow us to decrease the energy consumption with hybrid, but it's, I would say it is both battery and diesel. We have launched I think in the nick of time sub-solutions for Healthier Mobility, in particular, some HVAC filters allow – to kill viruses. I think this is a proof of our agility to launch to the market some new solutions and it's also market trends for Healthier Mobility to bring back passengers to public transportation. Last but not least, we are also progressing on the autonomous operations for some of our trains here with [indiscernible], but we have launched as well a program with Deutsche Bahn in Germany. So, we continue to significantly invest in R&D and we are going to positively, as I said converge our product plan and therefore we will have more means to invest into type of disruptive technology, disruptive innovations as we are going to streamline our main product planning. ESG environmental concern, I mean, this is just to confirm something that everybody knows that [Tren rail] [ph] is at the heart of the sustainable transition. And as you know, Europe has launched taxonomy to classify the different activities and when you look at this taxonomy, whether we talk about our sales, our OpEx, CapEx, 99% of what we do is here for sustainable mobility for the sustainable transition. So, there are still some discussions in Europe on the precise definition of everything, but I think it's a nice view of – or nice confirmation of what our activities are aimed at. Nevertheless, despite the fact that we are increasingly moving towards the sustainable world, we have taken some commitments at our level to continue to decrease the energy consumptions of our solutions to improve the amount of renewable energy used in our sites, so we have decreased as compared to last year because of the integration of Bombardier, which was not as advanced as we were in Alstom. So, now we are moving back to our trajectory. People of course which had the heart of our focus with certification as top employer anywhere in the world. CSR foundation, so we have increased our attention to our activities. We are also, as you can see now measuring scope 1 & scope 2 in terms of Greenhouse gases emissions, we are looking at scope 3 as well. And of course, we have a global ambition to be net zero carbon by 2,050. So, we have now a baseline line. It took us time to have a clear baseline with the full scope, the full perimeter of the new group. We have this baseline. We're going by the way to [Public] [ph] soon a brochure purely dedicated on our ESG and we are now going to build a complete program plan and improvement plan on these elements. So thank you for your attention. Now, I'm going to move to Laurent, who will give you some highlights on the financial results.
Laurent Martinez : Thank you, Henri. Good morning everyone. Let's get started with our P&L with the top line growth in H2, which has been given by our positive execution momentum, up 8% from H2 to H1. In terms of gross margin, we have been progressing close to 15%, as you see in H2, thanks to our sound project execution, our positive mix as well. And this despite non-performing legacy backlog trading. R&D at 3.4%, reflecting our continuous investment innovation with our usual phasing between H2 and H1. S&A at 6.4% this year, versus 7.2% last year with a good momentum in terms of cost synergies execution, I will come back on this. Finally, sound contribution of our Chinese GVs at [145 million] [ph] leading to a 5% of adjusted EBIT with a positive provision during our second half. Moving to the net income with [indiscernible] reflecting many our transformation investment in Germany and Switzerland, notably with, as you know, a planned reduction of around 900 to 1,300 people manufacturing position over next years in Germany. In terms of integration and [also] [ph] costs, we have invested €94 million of our implementation cost out of the €400 million targeted accelerating in H2. In addition, we booked some as well one of course, or mainly to at least [indiscernible] closure under this impact. Cash-wise and that's important, only the loss between cost in Germany is ahead of us and will be spread over the next two years. Below adjusted EBIT, net financial expense stand at minus €25 million, ETR is stable at 27%, all this leading to a net adjusted net income before TMH impairment of €268 million. So, as already indicated, we adjusted TMH value with an impairment of €441, reflecting current situation and we are left basically with €202 million of currency translation adjustment, which remains in equity. Overall, as you see, our net profit stand at minus €576 million after our accounting non-cash item of PPA of 400 million. Up to the free cash flow, definitively a positive momentum in H2 with around €0.5 billion of free cash flow generation with two key drivers, positive execution across region and product line, notably with an acceleration of the progress on our legacy backlog contracts and a healthy down payment generated by our positive order intake of above 9 billion. Some acceleration as well in our CapEx in H2 as always, consistent with our global 2% of sales target. So, all-in as you see a very positive performance of free cash flow in H2 and leading to a global free cash flow outflow of €990 million, driven by stabilization and ramp for the full-year. Briefly on our net debt movement very much consistent with our free cash flow evolution and standing at around €2.1 billion in [March 2022] [ph] as you see down €450 million versus our H1. In terms of liquidity, we do enjoy a very strong position about €5 billion built specifically on our renewed credit line of €4.25 billion with loan maturity as you see and no governance. In terms of bonds, you've see as well that we have low maturity ahead of us and a very cost competitive profile as well. So, overall very comfortable liquidity position as of end of March 2022. So, just to wrap-up on our H2 result in a few words, very solid performance, driven by sound execution, excellent market traction, mitigation as well of our, I would say macro challenges of supply chain and inflation with €9.5 billion of order in-take, €8 billion of sales, 5.4% of adjusted EBIT, and close to 0.5 billion free cash. This definitely represents a very solid foundation entering into our new fiscal year of 2022, 2023. On this basis, our board will propose to our next shareholders meeting in July dividend of [€0.25] [ph] per share consistent with 2021. Let's now move to our trajectories and outlook. And starting with our top line, our sales trajectories on which we do confirm our target above 5% CAGR over the period based, number one on our positive market momentum, and second on our strong €81 billion backlog. A few drivers for this fiscal year, holding stock continue to ramp up at market growth despite for the record, the raw material sales the consolidation impact, which will be in the range of €300 million. Services going at market growth with a huge potential [rate orders] [ph], signaling, continuing to step-up high-single-digit with I would say, positive market catalyst both on urban and [Mainland signaling] [ph] and systems honking up at solid double-digit driven by our market success. Based on these dynamics two challenge to be mitigated this year and which will be top priorities, supply chain shortage and potential impact of COVID, specifically in China something that we will come back on. Overall, we definitely confirm our top line gross pattern for this year and up to 2024, 2025. Looking at our sales dynamics now, interesting slide, you see on this chart happy [indiscernible] of our backlog from legacy to the new orders. And I want to confirm that the new orders since acquisition are fully consistent with our mid-term profit and cash target and this is given by our stringent Alstom tender process. We basically apply Alstom playbook now across the [world] [ph] when it comes to tenders. In parallel, as you see, we continue to focus on our legacy 0% gross margin backlog, which will be reducing shortly in the next years based on positive project stabilization execution. Overall, if I take a step back on this, this dynamic combined with our gross profile will be the basis for our margin step-up, flawless execution and backlog as number one, and second quality orders generated by our positive market momentum. So, a few word on inflation, which is of course a top priority for the group. So, we are actively mitigating this headwind with a confrontive action plan that we set on all the dimension of customers, suppliers, and internal performance. Just to start with two data points, 65% of our backlog is covered by inflation formula, and this is [indiscernible] in 60% of our revenues for this fiscal, which is globally immune from inflation. Looking at our cost base, 70% of our suppliers contract have cap or firm & fix and 56% are already in BCC countries with indeed, I would say already high inflation pattern that we are used to. On this basis, we have defined four key mitigation actions. Number one, we push the remaining exposure to suppliers with back-to-back clause. Second, we have adapted already as we speak, for our tender process, we reflect our cost evolution into the price for sure, and we prioritize with contract with escalation. Third, we have globally finalized a sudden negotiation for this fiscal year. And finally, and at least, we are implementing, of course, specific cost out measures on a project-by-project basis. So, just as a quick takeaway in terms of inflation, so this is a subject that we need to deal reason with that – on which we have some impact like in industries, we have as you see a very strong list of mitigants, and globally our financial trajectories is consistent with our inflation forecast published, and we will continue to manage active situation. So, looking now at our profitability, we do confirm our adjusted EBIT reached from 8% to 10% from [24, 25] [ph] onwards. Zooming on the drivers for this year, we have on the positive side, a number of positive tailwind from volume and synergy ramp up. On the other hand, we have healthy comparable level of sales your margin and of course, the inflation impact which is built in our forecast. Overall we see a recovery of our adjusted debit for this fiscal year and looking ahead to drivers of our profitability remains very solid with top line, efficiency, and obviously synergies. So, shifting to our synergies, as you see, we have had a very good performance in 2021, 2022 with above 100 million of synergy delivered, driven by the good job of our team and our treasury team as well on the bonding. Looking ahead, we have – obviously there was synergy targets to 475 million to 500 million based on all the progress we have achieved in 2021, 2022 with extra potential on footprint, production efficiency, best cost countries with issue target on home map, positive momentum as well on the procurement based not only on our per share score, but as well, again on the shifting to BCC and design to cost. And finally, confirmed synergies from product convergence, R&D and financing. So, all in based on this plan, I'm very confident that we reached [400 million] [ph] in March 2025 and close to 500 million in 2025, 2026. Our team are definitely geared toward this target with a key plan ahead to execute. So, moving to the cash, we do confirm our cash conversion of above 80%, as of March 25 with two key drivers in terms of working capital as you see on this graph. Number one, the provision usage related to the non-performing backlog, which as you see will be consumed until our fiscal year 2025. And second, limited normalization of our working cap result provision driven by both short-term safety stock and continuous ramp-up. In parallel, we deploy our cash focused program in our operation inventories management and continue to target LC down payments driven by the positive market traction. So, [in the main] [ph], as you see, we see a global stabilization on the working capital after the backlog execution normalization. So, to conclude on my side on the financial highlight with a few word on the deleverage, you see a clear deleverage levers both in terms of net debt with a free cash flow working cap controlled CapEx and M&A and balance dividend policies and as well obviously on the profit with uplift of the top line backlog execution and synergies. So, overall, we target significant net debt leverage by fiscal year 2025 and we do remain confident to remain solid investment grade moving forward. With this, I leave the floor back to Henri for the conclusion.
Henri Poupart-Lafarge: Thank you, Laurent. Just a few priorities for the year to come. We are facing a very nice market and therefore we can continue to continue our success in terms of momentum, but also in terms of selectivity and the quality of order intake by having very rigorous standard process, good selectivity. We need to make sure that we are again mitigating all inflationary impacts through this particular attention on the tenders. Delivering is one of the key priority, will continue to be one of the key priority, whether recall the high backlog of course, but we also some headwinds in terms of supply chain, electronic components, and so forth, we still have to continue to stabilize and finalize the legacy project as well. So, a lot of work still have to be done in terms of execution, but at the same time, we going to move progressively from, I would say, a pure focus on stabilization to focus, which will combine stabilization and transformation of our footprint and our product portfolio. Innovate, as I said, it’s [indiscernible] ultimate priority, ultimate goal of our integration. So, we'll accelerate innovation more than ever the world is needing a lot of innovation in order to tackle the climate challenge. Last but not least, people, as you know, we are growing. We are recruiting. We have a large recruitment plan. We have been able to recruit 9,000 people last year. We continue to go on the same path next year. I think we have a good attractiveness potential by the type of job that we do, the fact that we are here to again, solve some of the fundamental problems faced by the world. We have also a lot of digital activities. So, today, we are able to recruit what we need in terms of project delivery and we continue to do so next year. Finally, the financial trajectory are being detailed by Laurent, fully confirmed, so we can just confirm what we said last year at the beginning of last year both in terms of mid-term targets, but as well as in terms of trajectory to for next year. If anything, we have been slightly above what we were anticipating in cash, but nevertheless, we confirm that we guide at a positive free cash flow generation in 2022, 2023. The sales will continue to grow both on the back of the backlog, but also on the back of the book to bill, which we expect it to be above one again. And the adjusted EBIT margin will continue to increase going forward to go to the level of 8% to 10% in 204, 2025. A few invitation for the future. So thanks a lot for your attention. I'll welcome all of you this afternoon, we have next and Investor Day this afternoon. It will focus mainly mostly on holding stock activities. We wanted to detail to you what has been done this year in terms of projects stabilization, as well as giving you some highlights on the transformation of our activities going forward. So that will be done by mostly by Danny Di Perna, the Chief Operating Officer; and Benjamin, who is in, particularly in-charge of the operations of holding stock this afternoon. So, please join us. And then we the general shareholder assembly mid-July, as well as our first quarter publication on July 19. So thank you for your attention. Now, we going to open the floor for the Q&A session. So, do not hesitate. As we opposed to last time, we are open for as many questions as you wish to ask for each individual interaction. So, thanks. And now I will give back the flock to the operator for the Q&A session. Thanks everybody.
Operator: Thank you. [Operator Instructions] Our first question today comes from Akash Gupta of JPMorgan.
Akash Gupta: Yes. Hi. Good morning, everybody. It's Akash here from JPMorgan. My first question is on supply chain and particularly financial health of suppliers in current environment where some of your suppliers might be seeing troubles. So, maybe if you can put some light on where do you see at the parts of supply chain that may make you worry about execution this year? And then second question is on China, if you can also highlight the risk there from Chinese supply chain if you have any you? Thank you.
Laurent Martinez: Thank you, Akash. We are monitoring extremely closely our supply chain. We have this year some suppliers, which faced some difficulties like financial difficulties. I will not say that they were more than usual in terms of financial difficulties with one or two classically, we are increasing and we need to increase our monitoring of the suppliers. We also represent now with the size of the group for a number of suppliers with very large portion of their sales. So, what we do is that we are more and more present in the supplier sites in order to double check, triple check the ability to deliver and notably to ramp up. We have a number of programs, which are ramping up and we need to make sure that the suppliers are capable of ramping up. Then, your second point, as on particular situations. I mean, we can mention, of course, electronic components, which is one of the key challenge today, and China is the second one. We have not been impacted today neither by electronic components nor by China, but we see some difficulties mounting week-after-week on electronic components, even though, I mean things can change day-by-day because as you know, the macroeconomic environment is extremely volatile and I've seen that electronic consumption is going down, the general mass market is going down. So, we'll see what will happen on the supply chains in that perspective. And China, some of our joint ventures in China, have been a shutdown for a limited period and they will recover in the year. So, we have not yet faced any particular issue, neither, nor I would say from the Chinese suppliers themselves nor from the blockage of the [indiscernible], but we are monitoring that very, very closely at that stage. We hope that it will in the months of May, the Chinese authority will release some of the constraints, which will allow the supply chain to start normally again. So yes, we are concerned, but no – as we speak there is no immediate consequences.
Akash Gupta: Thank you.
Operator: Our next question today comes from Andre Kukhnin, Credit Suisse. Please go ahead.
Andre Kukhnin: Good morning. Thanks for taking my questions. It's Andre from Credit Suisse. Could I ask on cash flow first within your guidance for the year? How do you expect the, kind of H1, H2 cadence to develop and whether the second half run rate that you achieved for 2022, can we view that as underlying or is there anything of, sort of one off nature that we should be aware of within that?
Henri Poupart-Lafarge: Thank you. Thank you for the question. I will leave it to Laurent to give more highlights, but don't forget there is a huge element of volatility in our cash flow. So, we need to look at the long-term trend. So I will not take it as a baseline, but even though we cannot pinpoint on any exceptional factor, the cash flow of H2 in that respect is extremely sound. Either there is no one-off on the one project or anything which could, I mean, the picture in one direction or another, but it's not because there is no seeing exceptional this half that it should be taken as a baseline, but maybe – and there is no particular seasonal strong seasonal impact, but usually there is nevertheless small seasonal impact. So, maybe Laurent you could…
Laurent Martinez: So, thanks Andre for your question. So, just looking at 2022, 2023 indeed some limited seasonality between H1 and H2, but limited, as Henri said. In terms of the overall business drivers for this fiscal year, basically, as I explained, ramp up globally on the sound project execution, LC see down payment that we target. In terms of working capital, we see basically an evolution, which is driven by provision perception use, which will be comparable with 2021, 2022 and we see as well some normalization on the project working capital moving forward as well. Overall as well in terms of CapEx to give you some more colors, we see around, the same 2% global industrial CapEx over sales as per our target. All-in, we do confirm free cash flow generation for this fiscal year, no question about that.
Andre Kukhnin: Thank you. Sorry to labor on cash, I know there's so many things to discuss and to eliminate in these results, but can we say, can we expect positive cash flow in H1? Just to really kind of draw the line in the sand for the H2?
Laurent Martinez: Well as I said, there will be – we may have some seasonality key effect between H1 and H2, but no seem to compare with what we had in 2021, 2022 only.
Andre Kukhnin: Great. Thank you. I appreciate your time on that. Can I just ask quickly on the extra synergies from Bombardier deal for 2025, 2026, what is the source for that compared to the original expectations?
Laurent Martinez: So overall, we have extra potential definitively on the footprint and efficiencies, so more BCC content both in terms of engineering and manufacturing. Look at our footprint is of course, a major asset that we are basically pulling. The second accesses is procurement. Our team are doing a very good job in terms of achieving higher procurement synergies and initially expected. So, that will be, I would say the two main element of this uplift of target from 400 to close to 500.
Andre Kukhnin: Great. Thank you. And just last one, on the market opportunity where you flag 180 billion now, I think before we discussed 400 projects with average size, I think of about 300. So, it was a 120 billion opportunity. So, when we compare kind of what's changed, is 180 still over the same 3 year to 3.5 year timeline that you flagged before and therefore, is it an increase in opportunity per year, or is there no longer timeline now assigned to that 180 billion that you flagged?
Henri Poupart-Lafarge: No, thank you thank you for the question. There's no fundamental change. There's a slight change because as I said some of the markets have rebounded, but it's also not the same score because here on the 180 billion we include smaller opportunities as well. So, we were focusing on large opportunities and here we wanted to show the global pipeline, including smaller opportunities.
Andre Kukhnin: Great. Thank you very much for your time. Appreciate it.
Henri Poupart-Lafarge: Thank you.
Operator: Our next question today comes from Daniela Costa of Goldman Sachs. Mis. Costa, your line is now open. You may now ask your question. If you muted your line, please make sure that your line is unmuted. It appears that this caller has either stepped away or muted the line. We will now move on to the next question, which comes from Gil Peigneux of UBS. Please go ahead.
Guillermo Peigneux: Good morning. It's Guillermo Peigneux from UBS. I wanted to ask maybe a couple of questions, if I may? One is on provisioning levels. We understand the picture when it comes to provision uses as we go forward, but have you seen or have you experienced any change in the provision applications or the provision – incoming provisions from risk on contracts? So, that's the first question. Maybe I step back and then I ask a second question. Thank you.
Henri Poupart-Lafarge: Yes. Good morning, Guillermo. Number one, the provision from the [XBT] [ph] loss making contract is fully stable since March 2021, you remind the numbers of €1,080 million that we communicating a year ago. It is fully stable. Now, looking at the global portfolio, you will see some evolution in H2, plus and minus, so very limited of around €50 million, so something which is marginal in our global portfolio. So, in the main stability in terms of our provision.
Guillermo Peigneux: Is there any abs upside risk, I basically provision releases for this fiscal year?
Henri Poupart-Lafarge: No, I think that we are – I would say basically having a clear roadmap in terms of execution of our contracts. We do not see – I would say any exceptional or [indiscernible] or new provision on the back of our risk management as we speak.
Guillermo Peigneux: And one more from me. How much of the positive cash flow we did have in the second half? What’s actually coming from healthy customer down payments? If you may disclose that will be helpful. Thank you.
Henri Poupart-Lafarge: Well we have in our second half, I would say the usual pattern of down payment, nothing exceptional Guillermo. So very much in-line with what we had in H1. You see our order in-take was balance or fee between H1 and H2. So, it was globally the same on the down payment side.
Guillermo Peigneux: Okay. One last for me. When it comes to the synergies for this fiscal good year, do you have any assumption built for your margin progression for this fiscal year in terms of synergies? Do you have any positive completion from synergies? How many fully stacked? If you can share a number that would be great?
Henri Poupart-Lafarge: Yes. We do have some, indeed for sure some synergies at least this year versus 2021, 2022, we see incremental upside coming from the procurement, again on the global efficiencies, manufacturing or engineering perspective. So, this is something that we show on the Page 31 in terms of global trends of our synergies, so step-up on a year-on-year basis.
Laurent Martinez: Okay. Thank you, Guillermo.
Operator: We will now take our next question from James Moore of Redburn.
James Moore: Yes. Good morning everybody. I have a few questions if I could. Can you hear me.
Henri Poupart-Lafarge: Yes, we can. Thanks, James. Hello, James.
James Moore: Maybe I could start with the margin, the adjusted margin for FY 2023 this year, which you say can expand, I wondered if you could help us a little bit more on the bridge as to how you can achieve that because we've got a similar degree of 0% gross margin contract and we have a higher degree of inflation impact on exposure where you don't have price escalation. On the other side, I can see maybe 200 million of synergies this year versus 102 million last year from your chart, and I guess there are some savings, I guess there's some volume. I'm wondering if you can just help us size the moving pieces this year. And specifically I'm trying to understand the size of the net inflation impact as a number, if that's possible. That's my first question. Thank you.
Henri Poupart-Lafarge: Thank you, James. I mean, I can just confirm what you've just said in terms of the moving parts and the blocks. Yes, there are some positive negative impact. The negative impact is mostly coming from the inflation and to some extent as well from the continuation of the delivery of the overall gross margin projects. The positive ones, as you know, the volume expansion on one hand, the synergy on the other hand, and general efficiency of the company. On inflation, it's complex at that stage to give of course, a precise number as we don't know exactly what would be the inflation scenario going forward. We believe that according to the global consensus of inflation, if you take that into account, so if you look at the curve, which basically planned stabilization of this inflation going forward to come back to a normal situation, but again, depending on the analysts, it can vary in terms of timing. We believe that it's like 50 bips, the impact would be more or less 50 bips in the P&L of next year, but it can go from 50 to 100 and 120, so it depends. So, that's why we don't also give a precise guidance, it depends as well on the inflationary scenario, which as you know is developing day after day. But that's in in the order of magnitude.
James Moore: That’s really helpful, actually. Just turning to the very good free cash flow in the second half and there's all pluses and minuses. I understand that, but one of my questions is, are there any changes with terms with suppliers? I see that trade payables have increased, I think 367 million and inside you other current operating liabilities, we have other payables, which got up nearly 500 million from [indiscernible] 1.5 billion. Could you help me what are these other payables and there seems to be a big move up in payables, which could explain a loss of the free cash flow, is that all just ramp up or they need in change terms of supplies?
Henri Poupart-Lafarge: Well I can tell you, there will be no change in the terms of suppliers. That's clear. So, that's not an underlying factor of the free cash flow generation, clearly not, but I will it to Laurent to give more color.
Laurent Martinez: Yes. So, in terms of engine, no change in terms of the supply use or customers payment terms of conditions, looking at the payables we had an increase of 69 million from [March 2021 to March 2022] [ph], so obviously stable, I would say, despite the growth of around 10% in terms of activities, so something which has been well managed. And in terms of receivables, we have an increase of receivables of 440 as well versus March 2021, which is linked as well with acceleration of our project ramp up, which we of course has turned into of more activities, more deliveries to the customers, and which will be the basis of the cash generation for this fiscal year.
James Moore: Very helpful. And lastly, if I could on your statement, Alstom’s financial trajectory is consistent with the solid investment of grade rating. Is that basically code for we don't need a rights issue and can investment basically translated as that and you have absolutely no need for any kind of equity issuance on the current financial trajectory, just to take that topic off the table?
Henri Poupart-Lafarge: I think we always said that as long as we keep our financial trajectory as being guided last July basically to what – we have a sound balance sheet, so we'll continue to keep this line. So there is no indication whatsoever of any need of equity increase at that stage.
James Moore: Thank you very much.
Operator: Our next question today comes from Flat Zag of Bank of America. Please go ahead.
Henri Poupart-Lafarge: Maybe if I can ask for…
Vlad Sergievskii: Good morning, gentlemen. Thanks.
Henri Poupart-Lafarge: [Indiscernible] just to ask if we can limit to two question per, so that we can have everyone capacity to ask the questions. Thanks you so much.
Vlad Sergievskii: Absolutely no problem. And good morning gentlemen. Just to follow up on the free cash flow composition for the second half, specifically, if I may. And the contribution from working capital to it. And if I look at the key working capital components, looks like working capital assets were largely flat and those that reflect project execution. Contract liabilities, which reflect down payment. So, even down a little bit in the second half. And the biggest working capital inflow came from trade payables, which have actually payment to supply. Anything I’m missing here in terms of what were the key drivers actually working capital contribution to the cash flow. That's the first one.
Henri Poupart-Lafarge: No, Vlad, this is – thanks for your question. This is very much a fair summary, and we have uplifted our [contact assets] [ph] during the year and during the second half. This is all based on the production ramp up. And this is the foundation and the basis of our growth pattern for this fiscal year 2022, 2023, absolutely correct.
Vlad Sergievskii: Absolutely. That's great. And if I can also ask on a project ramp up, if I remember correctly, at the large capital market day last year, you mentioned you were expecting about 35% increase in rail car production in the second half of this past fiscal year compared to first. When I look at stock revenues, they were up about 2% second half versus first half. So, the question here, has this 35% ramp up actually happened, and if it has happened then why we have not seen a big increase in sales?
Henri Poupart-Lafarge: Thank you. So, we are not giving some detailed numbers on the number of cars being delivered and so forth. There have been certain ramp up and that confirmed the number itself, but you know sales are more related to the production and car deliveries with the new accounting norms of IFRS 15. So, it's – the ramp up in sales is not totally related to the categories. The cash in its sense is more because usually not always, but usually in projects, you have a cash payment at delivery of cars, but the sales itself is not totally related to the car deliveries. 
Vlad Sergievskii: That's great. And sorry to squeeze the very final one. I think it's really important one in terms of improvements you guys have made. I'm looking at gross cash by addition, it’s 800 million, it’s a lot smaller compared to what you guys used to carry before Bombardier, and obviously the business here got twice bigger, any structural improvements you've made around the business that allows you to run it at such a much lower growth cash [indiscernible]?
Henri Poupart-Lafarge: Yes, no Vlad, so to be fair, our gross cash we had in H1 or end of last year was more in the range of €1 billion to €1.1 billion, so we are at 850, so it's very consistent. This is the kind of I would say number of gross cash we are anticipating to run. It's more than enough to run the company.
Vlad Sergievskii: Okay. Thanks very much.
Operator: Our next question today comes from Martin Wilkie of Citi. Please go ahead.
Martin Wilkie: Yes. Hi, good morning. It’s Martin from Citi. So, a couple of questions. The first one, you've given the phasing of the conversion of the, sort of backlog in the [indiscernible] contracts in the backlog from a revenue perspective, just to understand the provisional flow, and in terms of when that is cash effective, just so we get some sense as to how the, sort of impact on free cash flow should be looked out over the next two or three years would be helpful? And the second question was just on other items that could be positive or negative on your net debt position over fiscal 2022, you also guided for positive free cash. And there are things, I think you've announced the disposal of certain assets that were, sort of mandated by the EU as part of the BT deal, I think that was fine like in April. Just to understand, should you get cash inflow from that in the first half or just any other item that you should think about in terms of the, sort of net debt progression in fiscal 2023? Thank you.
Henri Poupart-Lafarge: Yes. So, thank you Martin for your questions. So, in terms of working capital movement on the provisions side, we see, I would say a comparable amount of provision cash out in this fiscal year in 2022, 2023 and something which will be continuing and normalizing until a fiscal year of 2025 and this is in the bulk step up and the usage of the provision under the loss making contract, we have mainly on the legacy backlog. On your second point, Martin, on the net debt, no, there will be a no specific elements in terms of the net debt evolution in 2022, 2023. In addition of the dividend obviously the financial lease that's basically, it, we don't expect to your point [indiscernible] any significant cash outflows outside of the free cash flow.
Martin Wilkie: Okay, great. Thank you very much.
Operator: We will now move to a question from Jonathan Mounsey of Exane BNP Paribas. Please go ahead.
Jonathan Mounsey: Hi. It is Jonathan from Exane BNP Paribas. And also let me ask a question, maybe some of them have been answered, but just returning to the one that Jim raised, the other payables, I mean, it is a big movement. And I really just want to understand what is in that other payables, is there any detail in the accounts to describe what's really sitting in there? It's gone up 300 plus million. What is actually in that line? And also on TMH, obviously, you've written it down, but where are we in terms of thinking about dealing with that long-term? Is there any process going on whatsoever around trying to exit it or is that not really possible at the moment? Indeed have the people who you'd be delighted to sell it or the other owners, are they actually sanctioned by the West at the moment making a sale to them impossible? Just so you could give us some detail please.
Henri Poupart-Lafarge: Yes, thank you for your question. We will take the TMH. As I said, we have this participation in TMH, 20% participation in TMH, which is a financial one. So, we have written off the value of it, of course because of the current situation. We are looking at all potential scenarios going forward, the ultimate beneficiary [indiscernible] TMH is not sanctioned. There's one owner, which is, we sanction, but this should not prevent us from doing any deal, because again most of the owners and the [indiscernible] controlling shareholder is not sanctioned.  Having said that, you can imagine there a lot of technical difficulties arising from different control mechanisms. So, every option is on the table at that stage. We are not in a particular hurry, but we are looking at all options. On your point?
Laurent Martinez: Yes. Jon, thanks for your question. So, on the other payables, just to put the key numbers and we were at 165 end of March 21, we are at 1.5 end of March 2022, so we are awfully stable. So, we can give you more colors, but overall after the restatement, we had post the opening balance sheet, it's roughly a stable order payable position, but we can give you [indiscernible] colors on these subjects.
Jonathan Mounsey: Okay. We will take it offline then.
Operator: We now take a question from Alasdair Leslie from Societe Generale. Please go ahead.
Alasdair Leslie: Hi, good morning. Thank you, sir. A couple of questions. One is just on the outstanding customer settlements, maybe what are the reasons for that taking a little bit longer, is there still a kind of big gap in expectations, but could pose a risk in terms of potential increase in provisions? And when do you think you can conclude those outstanding negotiations? And then on the zero margin contracts, thanks for the slide detail in the expectations for the next few years. I mean given the number of customer settlements and the finalization of technical issues, which you've discussed how confident are you now that the kind of facing of those zero margin deliveries doesn't slip any further and we can kind of sort of draw a line here in terms of timing, and now kind of more external market forces that pose a risk around those still reason in that sense? Thank you.
Henri Poupart-Lafarge: No thank you. In terms of negotiations, commercial negotiations, we cannot say that the ones which have been the most delayed because we have a very different or large gap between what we are, I mean, the been and asked so to say. It's mostly because of technical issues which we have first to be solved, technical decisions which have first to be taken. So, I don't expect, I mean, they are not riskier than the other ones to be clear. So, I don't expect any change in our view on the provisioning for this last negotiation and we hope that they will be concluded still before the summer. So, we are in good momentum and to conclude all these negotiations. As far as the backlog of the operation gross margin project, today, they been executing correctly. As you said, now we are coming into a more normal situation, whereby we need to phase out all these projects. The risks, there are still some particular attached to this project, but mostly the risk are, I would say more normal risk related to the Q1 supply chain issues, macroeconomic environment or some technical issues, which could arise, but which are now in the normal type of frame and a normal volatility for project execution. So, does not mean that everything will go extremely smoothly. I mean, there will be for any project execution, some others and some difficulties, but these difficulties will be of the size of the classical project execution. And therefore there will be ups and downs, positive and negatives, which will compensate each other at the end of the day.
Alasdair Leslie: Okay. Thank you very much.
Operator: Our next question comes from William Mackie of Kepler Cheuvreux. Please go ahead.
William Mackie: Good morning. Thanks for the time. Couple of questions. Firstly, coming back to the provisions. Thank you for the commentary, but perhaps you could frame it in total. When you look at the backlog of zero margin business associated with these contracts in a rectification phase or resolution phase, you've said an approximate level of similar provision burn next year, but the use of provisions continuing at similar levels out to 2024, 2025, can you just somewhat, you would say is the cash effective provision release related to the bad backlog at this stage? What should we consider to be the total cash out as the backlog is traded to its finality? And the second question relates to China, can you give a bit more detail about how you're seeing the performance of the JVs. They made a good contribution in the second half, but I think you are still using retrospective accounting. Can you at least highlight how you see that business developing as you go into the current year? Thank you.
Henri Poupart-Lafarge: Can you hear us? Hello? [Technical Difficulty]
Operator: Pardon the interruption. We can hear you on the backup line.
Henri Poupart-Lafarge: Okay. Okay. Hello? Sorry, can you hear us?
Operator: Yes, we can hear you.
Henri Poupart-Lafarge: Okay. Sorry for this technical problem. So, on the Chinese and then I will leave it to Laurent, on the Chinese joint ventures and the Chinese market in general, so we had a good performance of our Chinese joint venture this year. They are continuing to be healthy in particular cash flow and [indiscernible]. It's fair to recognize that the high speed market is going down in China. For those of you who looked at the CRC account, we see that that the other intake is slowing down in China for the IC high speed, mostly because the network is now fully stabilized in China and it slowed down in the investment. But overall, we don't expect any major change, but if anything yes, we have a slight slowdown on the – one of our joint venture specialized on the high speed trains. Laurent?
Laurent Martinez: Yes. So, thanks Will for your question. So, in terms of the provision usage over the next three years or so, as I say, we had 300 million of provision application in March 2022. We see comparable numbers in March 2023, maybe slightly lower, and then this will be reducing step by step to come to a normalized perspective in March 2025. So, that could be a declining trend from this €300 million moving forward.
Henri Poupart-Lafarge: Thank you. I think unfortunately, we are running little to bit late So, we'll take maybe one question. As you know, we have another session this afternoon with another Q&A session. So, you have time as well to ask further questions this afternoon if you want. So, maybe the last question?
Operator: The last question today comes from Gael de-Bray of Deutsche Bank.
Gael de-Bray: Thanks very much for squeezing me in. Good morning everybody. Given the rising inflationary pressures you've had for quite some time now, I guess you've been trying to raise prices actively and to implement more and more protective mitigation clauses. And actually, in some other those industries like wind, for example, this process has led to lengthier commercial negotiations and to some delays in the booking of orders, but clearly, I mean, if I look at the major commercial successes you've had so far, I mean, this appears not to really have played out against you, right? So, I'm actually trying to understand the reasons behind this? The dynamics and really trying to see, I can be reassured on the quality of your recent orders.
Henri Poupart-Lafarge: Gael, it's a fair comment. There, as you can imagine, there are some discussions and negotiations on the different tenders related to this issue of inflation. As being said, some of them are already quite protected, others less protected and therefore that's being discussed. But to your point, it has not led to any delays in the tender booking so far. We are following the process. Tender booking, I don't know for wind, I'm not an expert of this market, but it’s already quite long for us between when we submit to tender when we are a preferred bidder than when we sign the contract. I mean in some projects where we are preferred bidder it takes one-year to – from preferred bidder to actual booking of the contract. So, it is a long timeline anyhow. So, the fact that we are taking advantage of this timeline to discuss is, you’re right, is clear, but it has not delayed the timeline. To your point on the consequences, it could add, I mean, we are booking as we said to – till March of this year, very good order intake, we continue to do so, so we have not deteriorated the quality of our other intake and we're continuing to do so going forward.
Gael de-Bray: Okay, thank you very much.
Henri Poupart-Lafarge: Thanks you, Gael. I think we will conclude here the call. Again, we will invite you for this afternoon for a complete session of [rolling stock] [ph], which will again be followed by a Q&A session, even though you are more than welcome and invited to ask questions on rolling stock itself, but we’ll be open to any kind of questions you may have. And we'll also have the pleasure to meet some of you very soon. Thanks a lot and talk to you soon.